Operator: Hello, everybody and welcome to the Independence Royalty Trust Q1 2023 Conference Call. My name is Sam. I will be coordinating your call today. [Operator Instructions] I’d now like to hand you over to your host, Lauren Tarola to begin. Lauren, please go ahead.
Lauren Tarola: Thank you and good morning everyone. Thank you for joining us to review Independence Realty Trust's First Quarter 2023 financial results. On the call with me today are Scott Schaeffer, Chief Executive Officer; Mike Daley, EVP of Operations and People; Jim Sebra, Chief Financial Officer; and Janice Richards, SVP of Operations. Today's call is being webcast on our website at irtliving.com. There will be a replay of the call available via webcast on our Investor Relations website and telephonically beginning at approximately 12:00 p.m. Eastern Time today. Before I turn the call over to Scott, I'd like to remind everyone that there may be forward-looking statements made on this call. These forward-looking statements reflect IRT's current views with respect to future events and financial performance. Actual results could differ substantially and materially from what IRT has projected. Such statements are made in good faith pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Please refer to IRT's press release, supplemental information and filings with the SEC for factors that could affect the accuracy of our expectations or cause our future results to differ materially from those expectations. Participants may discuss non-GAAP financial measures during this call. A copy of IRT's earnings press release and supplemental information containing financial information, other statistical information and a reconciliation of non-GAAP financial measures to the most direct comparable GAAP financial measure is attached to IRT's current report on the Form 8-K available at IRT's website under Investor Relations. IRT's other SEC filings are also available through this link. IRT does not undertake to update forward-looking statements on this call or with respect to matters described herein except as may be required by law. With that, it's my pleasure to turn the call over to Scott Schaeffer.
Scott Schaeffer: Thank you, Lauren, and thank you all for joining us this morning. We delivered strong same-store NOI growth of 8.2% during the first quarter. As discussed on our last earnings call, we focused on implementing operational changes and have since seen significant improvement in our processes and resulting occupancy. I'm pleased to announce that our occupancy has increased approximately 130 basis points since our operating update in early March and we expect it to continue to increase as leasing season gets underway. Today our same-store portfolio is 94.3% occupied with our same-store non-value-add portfolio at 94.7% and our same-store value-add portfolio at 92.3%. These occupancy gains are broad-based and across all communities. Also of note, our same-store portfolio was 96.7% of lease as of today, which puts us in a position of strength heading into leasing season. Regarding first quarter results, here are some highlights. Our average rental rate increased 10.8% year-over-year, supporting a 7.5% increase in revenue. Our same-store NOI increased 8.2% and our core FFO increased 8.3% in the quarter, both compared to last year. And we renovated 635 units in our value-add renovation program, generating a 19.1% return on investment based on interior renovation costs and a 17.8% total return on investment, including common area improvements. These results continue to reflect the many strengths of IRT's portfolio, from our strong rental rate growth to the effective way we execute on our value-add renovation program. We continue to prudently manage leverage and monitor both our interest rate risk and maturity ladder to ensure that IRT does not have any undue exposure. As we sit here today, 97% of our debt is either fixed or hedged and we have only 9.8% of our debt maturing through the end of 2025. This exposure is the lowest among our public peers. During the first quarter, we continued to advance our value-add program which reinforces our expectation to deliver between 2,500 and 3,000 renovated units that we previously guided for in 2023. Currently, we have ongoing value-add renovations at 20 properties in 10 markets. And over the course of 2023, we plan to add another five property using markets, where we already have renovation teams in place. We expect to continue to achieve an approximate return on investment of 20% on these new starts which is consistent with returns that we have achieved to date. Our value-add program has been designed to be flexible allowing us to increase our decreased volumes as market conditions warrant. Despite continued economic volatility and uncertainty, our portfolio continues to demonstrate resilience driven by our presence across key Sunbelt markets that position us well at all points of market cycles. We see no real signs of stress in our markets, as we achieved double-digit NOI growth during the first quarter in key markets such as Raleigh-Durham, Tampa, Charlotte, Myrtle Beach, Denver and Charleston among others. We continue to see positive job in migration growth in our markets leading to residential demand. Also our value-add communities provide renters with a real alternative to new construction, but at a much lower price point. And with inflationary pressures driving residents to Class B living, we are well positioned in cost-effective well-maintained highly defensive middle market communities. I'd now like to turn the call over to Mike Daley, our EVP of Operations and People for an operational update.
Mike Daley: Thanks, Scott. As Scott touched on our strategic positioning in non-gateway markets within the Sunbelt led to strong first quarter results. We delivered an 8.2% increase in NOI, supported by double-digit NOI increases in several markets and our accretive value-add program. We continue to remain laser-focused on achieving sustainable operating gains across the entire portfolio. As discussed last quarter, we have added senior leaders to the team who have a proven track record in operating large diverse portfolios of apartment communities. In addition we continue to improve our leasing and sales processes. Specifically, we have enhanced the speed of local market pricing feedback from our communities to the revenue management team. This allows us to augment our technical pricing tools and make any needed real-time adjustments to price. We have fully established our 24/7 call center to capture 100% of leads, significantly expanded our sales training program and continued to leverage technology to support process changes and maximize lead-to-lease conversion. These changes collectively increased occupancy to 94.3% as of today, up 130 basis points when compared to our operational update in early March. We will continue to enhance and streamline our operational processes to maximize our performance and efficiency. From the lead volume perspective, as Scott mentioned, we are seeing good demand for rental housing as we enter leasing season. Through today lead volumes year-to-date are up 6% over 2022 and our lead-to-lease conversion has improved 290 basis points from 5.5% last year to 8.4% year-to-date in 2023. For all of these new leases signed, the average rent-to-income ratio was 22% and had lease over lease effective rent growth of 3.1% in Q1. So far in Q2 2023, we have seen an improvement in new leasing spreads to 4.2%. From a resident retention perspective, the retention rate in Q1 was 48.2% and has increased in Q2 to date to 56.7%. This has been driven by the enhancements of our renewal process as part of our sales and leasing improvements we discussed earlier and is a key component of our plan to drive occupancy gains. Lease-over-lease rent growth for renewals was 4.8% in Q1 2023 and is 1.7% in Q2 2023 to date. These lower second quarter quarter-to-date renewal rates were a result of us prioritizing occupancy. As we monitor submarket fluctuations in occupancy and revenue growth, we take a balanced approach to optimize new lease growth while retaining residents through normalized renewal trade-outs and our improved retention program. We are already seeing this in pricing power with June and July renewal rates currently at 2.6% and 4.2% respectively. I'd now like to turn the call over to Jim.
Jim Sebra: Thanks, Mike, and good morning, everyone. Beginning with our first quarter 2023 performance update, net income available to common shareholders was $8.6 million compared to $74.6 million in the first quarter of 2022. During the first quarter, core FFO increased 8.3% to $62.5 million and core flow per share grew 8% to $0.27 per share from a year ago. This growth reflects the organic rent and NOI growth that we experienced in the quarter. IRT same-store NOI growth in the first quarter was 8.2% driven by revenue growth of 7.5%. This growth was led by a 10.8% increase in average monthly rental rates to $1,530 per month. On the operating expense side, IRT same-store operating expenses increased 6.4% during the first quarter, led by higher repairs and maintenance costs, contract services and property insurance. Inflationary pressures are certainly having an impact on operating costs and causing higher-than-normal increases. We continue to use our procurement teams to rebid contracts and technology solutions to help reduce costs wherever possible. Regarding the increase in repairs and maintenance costs, several factors have caused this increase. First, during Q1 2023, we had a higher volume of units to turn due to the lower resident retention rate. Second, we've performed a number of seasonal maintenance projects in Q1 ahead of leasing season as compared to last year, when we started most of these projects in April or May. And finally, inflationary pressures continue to cause an increase in prices for services. As Scott and Mike both mentioned during Q1, we executed on our reorganization of our operations and revenue management teams. These efforts are positively impacting our operations by providing a sustainable improvement in occupancy. While we incurred a one-time cost for severance from the reorganization, we do expect our annual G&A expenses will be lower over the remainder of 2023. Turning to our balance sheet. As of March 31st, our liquidity position was $327 million. We had approximately $12 million of unrestricted cash and $350 million of additional capacity through our unsecured credit facility. During Q1, we entered into a new SOFR swap that immediately reduces our floating rate borrowing exposure and provides an immediately lower interest rate by approximately 140 basis points today. This new swap is expected to reduce our interest expense by $1 million for 2023. Regarding leverage we ended the first quarter at 7.3 times net debt to EBITDA down from 7.6 times a year ago with the improvement in occupancy and our forward expectations for the remainder of the year we still expect to achieve our leverage target of mid-6s by year-end 2023. While we continue to anticipate macroeconomic uncertainty in the coming months, I wanted to reiterate that we have no debt maturities in 2023 and only $70 million of maturities in 2024. Today, our exposure to floating interest rates is only 3% of our total indebtedness and our maturity exposure through year-end 2025 is the lowest of our public peers at only 9.8% of our debt. With respect to our 2023 outlook, we are reaffirming our initial guidance that we provided on our year-end conference call in February. Our EPS guidance remains at a range of $0.23 to $0.27 per diluted share and for core FFO a range of $1.12 to $1.16 per share. Our same-store operational guidance remains unchanged with growth of 6.4% in revenue, 6.1% in operating expenses, and 6.5% in NOI all at the midpoint of the guided ranges. Our previous guidance on transaction and investment expectations also remains unchanged. We currently are not assuming any acquisition volume, but did close on the sale of our community in Indianapolis at a price of $37.3 million. This disposition was at an economic cap rate of 4.8%. No additional dispositions are currently expected. Now, I'll turn the call back to Scott. Scott? 
Scott Schaeffer: Thanks Jim. So, to sum up we are off to a strong start in 2023 and remain on track to achieve our 2023 guidance. Our portfolio of properties in attractive markets in the Sunbelt region continues to perform well supported by solid renter demand fundamentals. Our efforts to improve occupancy are materializing and our value-add program is contributing high returns on an ongoing basis. At IRT, we have built a company that will perform in all market cycles and are encouraged by our ability to capture the growth opportunities that lie ahead. We thank you for joining us today and look forward to speaking with you again. Operator, you can now open the call for questions. 
Operator: Thank you. [Operator Instructions] Our first question comes from Austin Wurschmidt from KeyBanc Capital Markets. Austin, your line is now open, please go ahead.
Austin Wurschmidt: Hey, good morning everybody. Jim maybe kicking off with you. Given how the operating results have played out heretofore in the transition to favoring occupancy versus rate in the short run one, how should we think about occupancy and lease rate growth assumptions embedded in guidance and then kind of the trajectory of same-store revenue through the balance of the year? And second, what would it take at this point for you to get within the higher end of the range of revenue guidance? 
Jim Sebra: Yes. Good question Austin. Our guidance assumptions or the operational assumptions I think being our guidance 94.5% occupancy Obviously, we have the earnings from last year and then plus another 3% blended rent growth for all of 2023. We still feel quite good about that occupancy assumption. The blended rent growth were just above 3% so far year-to-date. So, we're feeling good about that as well. And I think we'll come out with second quarter guidance updates as part of our second quarter earnings call. I think generally speaking as occupancy is building here in the second quarter through third quarter the same-store revenue kind of growth trajectory will almost be dependent on that occupancy growth and we'll be at kind of the low 95% range in third quarter. So, we're feeling quite confident and good about our overall assumptions around the occupancy and the revenue forecast that we've baked into guidance.
Austin Wurschmidt: That's helpful. And then how does that 96.7% lease percentage compare versus periods where maybe occupancy was more stable and you've clearly started begun pushing rental rates it sounds like into June and July. Is it sort of data dependent, or how much room do you think you have to run on sort of the renewal rate growth side?
Jim Sebra: Yeah. I mean, I think, as we mentioned in our prepared remarks, the renewal rent growth is reaccelerating or accelerating in June and July 2.4% in June and 4.2% in July. We see great continued ability to kind of now that we're -- that non-value-add, same-store pool is 94.7% and approaching that 95% occupancy. We feel quite good about being able to now have this pricing power as we head into leasing season. The difference is really kind of on the lease percentage. In a period of time when the occupancy is more stable you'll see a little bit less gap, between the lease percentage and the actual occupancy percentage, so that the width of that gap gives us great confidence in that this occupancy is here to stay and will be stable as it continues to build through this season.
Austin Wurschmidt: That's helpful. And then, last one. You guys gave a little bit of detail in the opening remarks. So Scott and maybe Mike or Janice you can chime in here. But can you just share what you've done differently sort of interacting with the revenue management system? You highlighted some different protocols within the operations team. But -- do you think those specifically are what driving this inflection occupancy or seasonality having some impact as well? And what's the confidence level you think you can sustain and sort of the gains you've achieved and keep things stable moving forward on the occupancy side?
Scott Schaeffer: This is Scott. Thanks Austin. I'll start and then, I'll let Janice give you her color. But I think the big thing was that we consolidated asset management, revenue management and marketing under one unified leadership team and also really stressed improving the training of our sales and marketing. It is some seasonal seasonality of course, but we think that these changes that we've made, to the operations platform is what is really driving the occupancy growth that we're seeing. And that renewal rate was by design and giving us now pricing power with this higher occupancy and with higher leads and higher conversion rate going into leasing season. But Janice do you want to add anything?
Janice Richards: Absolutely Scott, Thank you. So I joined IRT a little bit over 90 days. And during that time we implemented a few key components that have improved operational performance and allowed us to continue to -- and will allow us to continue to sustain this performance through 2023. On the revenue side we implemented a real-time communication where the teams and the revenue management are interacting on a daily, minimally, a weekly basis to ensure that we are maximizing blended rent growth as well as driving occupancy. So we're continuing that balanced approach that we've had in the past and just making sure that we are improving the efficiency and the timeliness of it. We implemented a focused renewal program immediately while implementing sales training and support for the team. Also during this time we rolled out the call center to all of our communities which have helped greatly with our lead volume. One of the sales trainings that we implemented was a six-week sales training that was a series of workshops with our communities sales professionals where we really go into improving the sales process as well as follow-up and creating value within the rents as well as our communities. We rolled out a sales performance team. This team has specialized trainers that are focused on sales performance for a signed area. So they really dive into those KPIs ensure our teams are maximizing every point of content and working those leads all the way through to the process of the sale. These specialized coach and development sales teams will continue to monitor lead management. They'll work on the sales performance of the teams and they will work congruently with the VPs of operations and to the entire marketing and revenue team to ensure that we are able to sustain the performance throughout 2023.
Scott Schaeffer: To finish up Austin, we're very confident that this is sticky, and that you'll continue to see a stable occupancy at that full occupancy level into the future.
Austin Wurschmidt: Great. Thank you.
Scott Schaeffer: Thanks, Austin.
Operator: And our next question comes from Eric Wolfe of Citi. Eric, your line is now open. Please go ahead.
Nick Joseph: Thank you. It's actually Nick Joseph here with Eric. I was hoping you could walk through kind of the relationship between the value add within the same-store, how those returns that you're getting call it your high-teens, near 20% plays into both renewal and new lease rate growth within that portfolio. And I recognize you usually do it on the turn, but if you could just kind of walk through that relationship and how that should trend going forward?
Jim Sebra: Yes, sure. It's a good question. Obviously, our value-add portfolio is within our same-store portfolio. It's about 20 properties of the full same-store portfolio. The returns in the ROIs that we get on the value-add portfolio value-added units are based on kind of how we rent that unit to an unrenovated comp, that's either in the building or presumably outside of the building that we were actually competing with as part of the competitive set properties. The data that you see in the same-store operational metrics that we've provided kind of breaks out the new lease growth and that renewal rent growth. And as you mentioned, the value-add units are value-added on turn. The new lease growth of, I think just a little over 5% doesn't show that 20% rent growth, because it's got a mixture of other new leases that are happening in the portfolio, because the entire property is part of that same-store value-add component. The new leases are in there, there are new leases on existing value-added units such that you don't see that 20% top on those other new leases that are again, on second turns, if you will. But what we're seeing -- we're continuing to see great demand for the value-added units as well as those premiums that we're seeing versus the unrenovated comps and are pretty confident in the portfolio and the business plan going forward.
Scott Schaeffer: And I think an important thing to add Nick is that, when we look at the value-add communities and the units that are being improved, over the next 30 days, every unit that is being improved and delivered is already pre-leased. So that gives us great confidence that the demand is ongoing and that we'll be able even to increase those returns as we move further into leasing season.
Nick Joseph: Thanks. That's very helpful. And then just maybe on supply curious to get your thoughts on how kind of recent deliveries or expected deliveries play into the pricing strategy. And then what you're seeing or expecting in terms of new starts given kind of the contraction on the construction lending side, how you would expect those to trend throughout 2023?
Scott Schaeffer: Well, new supply has been a headline for 2023 for some time now and we are seeing it. We are not seeing any real effect in our portfolio as we've stated our lease -- our lead volume is up, our conversion rate is up, occupancy is increasing. So, it really -- when you look at CoStar, they talk about markets such as in Atlanta, Dallas or Raleigh-Durham. They're big markets. So we break it down into the submarkets as we're monitoring this. And we're really not seeing any effect today from new supply. And we all know that with interest rates and with the view of recession potentially coming, that new supply -- that volume of new supply will -- I know it's expected to but I'm very confident it will slow down dramatically in 2024 and 2025. So we're well in out to 2023 and we're seeing no effect. And we think even the effect that's there will wane as we move later into this -- into the latter part of this year and next year.
Nick Joseph: Thank you very much.
Scott Schaeffer: Thank you. Thanks, Nick.
Operator: The next question comes from Brad Heffern of RBC Capital Markets. Brad, your line is now open. Please go ahead.
Brad Heffern: Yes, thanks. Good morning, everyone. On the July renewals of 4.2%, I'm curious is that where the offers are going out, or is that a number that you expect to realize? And if it is what the offers are at can you get the differential, where those typically go out versus what is realized? 
Jim Sebra: Yes. So the $4.2 million is what's been signed already for July renewals. Generally speaking, they're also – it's also in line with what the offers went out at.
Brad Heffern: Okay. Got it. And then last quarter I think you said you were seeing more tenants moving out because they were finding roommates or because they were moving to live with their family. I guess has that trend continued, or are you seeing less of that given the focus on occupancy? 
Mike Daley: Yes. I think the comments – this is Mike. I think the comments last call were really around kind of the qualitative kind of anecdotal feedback from the communities. We really haven't seen any change in reason for move out from a quarter-to-quarter basis. So really, despite the headlines, the fact that we earlier mentioned the very strong job markets and inbound migration. We really haven't seen significant changes in the reason for move out. So I don't think anything from our perspective has changed in that regard.
Brad Heffern: Okay. Got it. And then finally is there any notable concession use currently in the portfolio? 
Janice Richards: Where we've seen an influx of new supply on a small level, where concessions have entered into the market in some of the submarkets, we have stayed competitive but no large concept and usage across our core markets.
Brad Heffern: Okay. Thank you.
Operator: And our next question comes from John Kim of BMO Capital Markets. John, your line is now open. Please go ahead.
John Kim: Thank you. Good morning. You have a number of markets where you only own one or two assets and I'm wondering if that puts you at a disadvantage compared to larger peers that have bigger scale, or do the revenue management systems put you at more of an even playing field. 
Scott Schaeffer: This is Scott, John. Yes, we think there is an advantage to having multiple communities in a market with operating efficiency. I don't think it puts us at a disadvantage relative to pricing because the revenue management does level that out. But we've stated on many occasions that we are looking through the recycling program that we always discussed to consolidate our portfolio and eliminate some of those smaller or single asset markets. Right now the transaction market is more or less frozen. So we're – the properties are performing fine. But as you see more transactions get done, don't be surprised if you see us start to exit some of the single market communities – single community markets.
John Kim: And what about some of the markets where you have let's say two to three assets? Do you need to build more scale in those markets? 
Jim Sebra: And some of them we're looking to build more, when the time is right and in others we're looking to exit. I can give you an example. We like Orlando long term. We have one community there. We would add Birmingham, Alabama, where we have two, we probably would exit that one. So it's a market-by-market decision.
John Kim: Okay. On the lease growth rates, is there any noticeable trend that you could talk about whether some markets or regions are doing better than the others? And in particular, I wanted to ask about the Midwest, which according to CoStar is performing very well. 
Mike Daley: No I think that – this is Mike, again. I think that's very accurate. Our top-performing markets on blended rate growth were actually Columbus at 7%. And Oklahoma was 5.4% and Atlanta 5%. So. your comment is correct. We're seeing a lot of that Midwest strength. So I think overall performance in those markets go are good and we see other markets are also performing well and showing signs of strength like Tampa and Charleston and Myrtle Beach but the Midwest is definitely a point of strength.
John Kim: On the flip side it's underperforming then 
Mike Daley: I think the one that is kind of on our because of our size and our exposure to the market Atlanta, I think is probably the one that we're watching the closest. There's a lot of things that, I don't – Janice, if you want to – Janice, if you want to share some detail in terms of kind of the things we're watching in Atlanta, I would say that's probably the single market we have the most focus on the performance front. 
Janice Richards: Absolutely. So we've seen – although, we've had great performance to market. We've seen that there's been some opportunity to really hone in on operational efficiencies and making sure that we're maximizing the maximizing, the performance on the property level. There was a flat absorption, but it doesn't really affect us in the submarkets that we are in. So we are continuously looking for ways to – we have a ton of value adds in that community or in that market and we're looking to maximize the work there. So, you might see a little bit of fluctuation in the occupancy based on the percentage and the concentration of value add, but we are pretty confident that we'll continue to outperform the market but the market has softened. And so we just want to make sure that we are on point operationally to work through that. 
John Kim: Okay. And just final question, if you could disclose what the bad debt was in the first quarter and what you're expecting for the year?
Jim Sebra: Sure. Yeah. The bad debt for the first quarter was 2% of revenue. We've guided to 1.5% of revenue for the year and are so confident in that guidance. We expect that as the fiction kits were kind of opening up earlier this year that we would have a little bit higher in Q2 -- I'm sorry Q1 -- apologies for that in Q1 and then it will come down as we get through that throughout the year and kind of stabilize that 1.5% through this year and then seed lower next year. 
John Kim: That's great. Thank you.
Jim Sebra: Thanks, John.
Operator: Our next question comes from Wes Golladay from Baird. Wes, your line is now open. Please go ahead.
Wes Golladay: Hey, good morning, everyone. You highlighted a lot of changes you made on the operational front. I'm just curious, if everything is now optimal or will we be hearing about improvements throughout the year? 
Scott Schaeffer: We think we are done with the changes, Wes. We're very confident with where we are. We're confident with the team that we have in place. The results are all trending in a very positive way. So I'm very happy and comfortable to say that, we're through the changes in the organization.
Wes Golladay: Okay. And then capital markets have been a little bit softer. Still there's a lot of capital but things may change in the future. Just curious, how you view the value-add program still delivering very strong results high-teens 20% level, but cost of debt were to increase further. Would you change -- I guess what is your protocol now? And is it -- do you still have a meaningful room to continue doing this program? 
Scott Schaeffer: Well, it's a 20% unlevered return and that does not include the cost savings, because we have new systems new appliances new hardwood flooring. So the cost of maintaining these units is reduced on a forward basis and that's not even as I say included in 205. So we built this platform if you will with an eye towards being able to expand it or contracted the number of units that we do based upon market conditions. So we're always looking at what the returns are and where does it make sense and so far so good. As we've said, all of the units that we're delivering over the next 30 days are already preleased. We're seeing good demand even beyond that. And again, a 20-plus percent unlevered return is pretty attractive.
Wes Golladay: Okay. And then just one question on supply, I know you don't have a whole lot of traditional supply in your markets. Just wondering if you can maybe comment on if you're seeing a lot of competition from the value add so not really a new supply, but maybe enhance improved supply coming in with a lot of other participants in your local markets doing the value-add competition. Are you seeing a lot there, or is it pulling back? And any kind of color there would be helpful. 
Scott Schaeffer: We're not seeing a lot. And again, I think it goes to interest rates. Most of the competition that we saw in the value-add front in the past was from small levered operators. And it doesn't really work as well today as it used to and just the availability of financing is more difficult, our value-add program is really designed to compete with the newer construction. And at a -- so again and you've heard me say this I'm sure that we're delivering a product that competes very well against new supply but at a $400 to $500 price reduction or lower rents. So it gives us a real advantage. So as we start to see changes in the economy and potentially a recession, we think that the value-add will be even more powerful because we'll be delivering that Class A product at a better price point.
Wes Golladay: Great. Thanks for the time everyone.
Scott Schaeffer: Thank you.
Jim Sebra: Thanks, Wes.
Operator: Our next question comes from Anthony Powell from Barclays. Your line is now open. Please go ahead.
Anthony Powell: Hi, good morning. I just want to go back to the Midwest markets that are performing well. Could you maybe go into the supply outlook you're seeing in markets like Indianapolis, Columbus and even OKC? And what's driving the better demand you're seeing in those markets overall?
Mike Daley: I don't -- this is Mike. I don't have the new supply in front of me. The CoSTAR just came out with updated information yesterday. So there's some digging I need to do to be able to give you a better answer. But at a glance what I was reviewing this yesterday there was not massive influx of new product coming online in any of the markets you mentioned. I think that's just something that we keep an eye on. We watch and we'll see what that unfolds to be. But right now those markets appear to be very stable from a new supply perspective.
Jim Sebra: Anthony this is Jim. Just a follow-up to Mike's commentary there. We are, obviously, CoSTAR's coming out with obviously their new data set. But the when we looked at it before for 2023 like Indianapolis to new supply deliveries was pretty low like 1.2% of the existing stock. So we feel quite confident that those markets are pretty robust in terms of continuing to see great job growth and we're expecting to see not a lot of pressure as Scott mentioned from new supply in our markets. 
Anthony Powell: Are there buyers in these markets long-term?
Jim Sebra: It all depends. We're not big of anything right now because we're still unsure where values are. But yeah we bought in Columbus and Indianapolis obviously in the past. And those are our two main Midwest markets. And depending on market fundamentals in the future, I think yes we would add there if it makes sense.
Anthony Powell: Just not like you're not making make a play in the Midwest versus the coastal or Sunbelt is more of an opportunistic kind of view, is that fair?
Jim Sebra: Absolutely. That's the way we built this portfolio was by identifying markets where we felt there was good long-term prospect and that will continue. It's -- we still like the Sunbelt. We still think that the demographics of the Sunbelt will outperform long-term. But if there's an opportunity to buy something in the Midwest that makes sense in a market that we're already in, we will absolutely look at it.
Anthony Powell: Got it. And maybe on the June and July renewals, what percent of the role has been renewed already as of now? And is that higher or lower than I think average for this time of the year?
Mike Daley: Yes. For July it's pretty much a vast majority of the renewals have already been done I'm sorry for June that is, for July about 30% have already been renewed and that's actually ahead of where we would have been this time last year.
Anthony Powell: Right. So I guess the tenants are taking these price increases and you're not seeing any incremental I guess attrition given the slightly higher renewal rates. Is that fair?
Mike Daley: No, that's exactly right. To Janice's point all of the focus -- all the focus that we've had on the operational processes and the sales trading is really paying dividends.
Anthony Powell: All right. Thank you.
Mike Daley: Thanks.
Operator: We next have a follow-up from Austin Wurschmidt from KeyBanc Capital Markets. Austin, your line is now open. Please go ahead.
Austin Wurschmidt: Great. Thanks guys. I appreciate you taking the follow-up. Just a question, I realize the transaction market is a bit frozen, but can you just give us a sense of on the deals that are transacting where you think cap rates are today, and maybe pair that with where you can get secured financing for multifamily assets today? Thank you.
Scott Schaeffer: Sure. Thanks Austin. So we actually -- our acquisitions team who continues to monitor all the markets that we're focused on recently told me that they are starting to see more properties being listed and the whisper from the brokers is that the sellers will accept 5% to 5.5% cap rates depending on market and property quality. And that's better information than what we've had. And so I still think there's disconnect between the buyers and sellers the bid ask if you will. But this is the first information that I've seen that shows there may be -- the movement may be starting. I hope that answers your question.
Austin Wurschmidt: Yes. Thank you.
Scott Schaeffer: Thank you.
Operator: And there are no further questions. I'll hand the call back to Scott now for any closing remarks.
Scott Schaeffer: Well, thank you for joining us and we look forward to speaking with you again next quarter. Thank you all.
Operator: This concludes today's call. Thank you everyone for joining. You may now disconnect.